Patti McGlasson: Good morning, everyone, and thank you for joining us today. After we review the company's business highlights and financial results for both the fourth quarter of fiscal 2025, as well as our full year earnings, we will open the call for questions. Before we begin, I'd like to provide the cautionary statement. For forward-looking statements that may be made during today's discussion, please note that all information presented on this call is subject to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Our remarks may include forward-looking statements that reflect management's current expectations regarding future events and operating performance. These statements are subject to the risks and uncertainties, and actual results may differ materially from those projected. We encourage you to review the cautionary statements and risk factors contained in a press release issued earlier today, as well as in our filings with the Securities and Exchange Commission, including our most recent form 10-K and quarterly reports on form 10-Q. I'd also like to note that today's discussion will include certain non-GAAP financial measures. A reconciliation of these measures to their most directly comparable GAAP figures can be found in the press release issued earlier today. Lastly, please remember that this call is being recorded and will be available for replay on our website at NetSol Technologies, Inc. as well as through a link included in today's press release. I'd like to reiterate that this time, all participants are in a listen-only mode. Following the prepared remarks, we will open the call for a Q&A session. I will now hand the call over to our founder and Chief Executive Officer, Najeeb Ghauri. Najeeb Ghauri: Thank you much, Patty. Good morning, everyone, and thank you for joining NetSol Technologies, Inc. earnings call to review our results for the fourth quarter and the full fiscal year ended June 30th, 2025. We appreciate your continued interest and support in NetSol as we remain focused on delivering long-term value, strengthening our core offerings through our unified AI-powered Transcend platform, and expanding our presence in key global markets. Today, I'll provide a brief overview of important developments that have taken place over the fiscal year, which reflect our strategic progress and operational highlights. And then I'll hand it over to our CFO, Roger Almond, who will walk us through our financial performance for both the fourth quarter and the full fiscal year in greater detail. After that, we will open the call for your questions. Fiscal 2025 was a pivotal year for NetSol. We made strong progress across our subscription and services segments, areas that form the foundation of our long-term growth strategy. Our strategy of migrating our existing customer base and new customers from a licensed revenue model to a recurring revenue model continues to accelerate. This reflects the trust that our people and products have garnered within our core industries. We also advanced modernization efforts around our platform. Made targeted investments in AI and automation capabilities. We remain committed to optimizing our operational efficiency and maintaining a disciplined cost structure, all while keeping innovation, customer satisfaction, and shareholder value creation at the core of our mission. Over the course of the year, we secured significant contract wins across various regions, further solidifying our reputation as a trusted technology partner in the global asset finance and leasing industry. Alongside the digital, automotive retail space, in addition, we successfully delivered multiple high-impact go-lives, showcasing our capability to implement complex solutions with efficiency and precision. Further, we also enhanced our leadership bench with key senior-level appointments, adding further depth to our organization. These developments, coupled with broader progress and continued innovation, have positioned us well for sustained growth in the year ahead. I'll start by discussing our product ecosystem enhancements. Over the past year, we have made substantial progress in strengthening and expanding our product and service portfolio. The centerpiece of this evolution was the official launch of our United Transcend platform, which is an AI-powered digital retail and asset finance solution designed for automotive and equipment OEMs. Auto captives, commercial lenders, dealers, brokers, banks, and other financial institutions. Today, NetSol Transcend platform revolutionizes how assets are sold, financed, and leased. In line with this vision, we launched Transcend AI Labs, our dedicated innovation hub focused on AI-first enhancements, automation, and strategic consulting. This initiative underscores our focus to leading the market through advanced technology and continuous R&D investment to drive this forward. We have brought in new dealership for our Artificial Intelligence division, bringing deep expertise to our AI initiatives. Our Transcend marketplace continues to gain traction with modular API-first products such as Flex, Torque, and Link, delivering real-world impact in the United Kingdom and beyond. These developments reinforce our position as a progressive technology leader in the asset, retail, finance, and leasing space. Our go-to-market strategy is gaining momentum globally, with several high-value wins and deployments that validate the strength of our technology solutions and commercial strategies. We secured a $16 million, five-year contract with a major US automaker to transform its dealership operations with our Transcend retail platform, representing a major milestone for NetSol in North America. We also continue to deepen relationships with long-standing partners, a major Chinese automotive finance company upgraded to Transcend Finance as part of a multi-million dollar deal involving the migration of over 3 million contracts. One of the largest volumes we have handled to date. In Australia, a leading Japanese equipment finance company went live with Transcend Finance following a multi-million dollar contract. We also made strategic progress in Europe with our first-ever deployment in the Netherlands as our Transcend Finance platform went live for Hiltermann. Further, we also signed a deal with Sinbad Management, SPC in Oman, making our official entry into the Middle East. We are seeing clear signals that the market is continuing to respond positively to our proven state-of-the-art technology. With our modular products and AI investments, we remain focused on driving sustainable growth through operational efficiency and financial discipline. Our continued investment in AI, particularly through Transcend AI Labs, is already helping us unlock greater productivity and scalability without the need to significantly expand headcount. We are seeing meaningful improvements in recurring SaaS revenue and our revenue per employee continues to trend upwards, reflecting better utilization of internal resources and scalability of our offerings. We also strengthened our leadership team this year with strategic hires and appointments that will help guide our long-term vision. Notably, Richard Howard, a seasoned executive with decades of experience at Daimler and Mercedes-Benz in both the OEM and financial services side of the business, joined as an advisory board member and is actively contributing to a North American growth strategy. We also appointed Ian Smith to our Board of Directors. Ian brings with him over three decades of global leadership experience in financial services with a proven track record in automotive finance, digital transformation, and strategic growth. Most notably, he served as a CEO for BMW Group Financial Services USA and Americas. All of these developments from our AI-driven product evolution to strong commercial execution and discipline, operational focus, are positioning us all for long-term profitable growth. We are confident in our roadmap and look forward to continuing to lead in digital transformation across the global asset finance and leasing industry and the digital, automotive retail space. With that, I'll now turn the call over to our CFO, Roger Almond, who will walk us through our Q4 and full year fiscal 2025 financials. Roger, thanks. Roger Almond: Thanks, Najeeb. And good morning, everyone. Let me begin with our fiscal fourth quarter results, followed by a summary of our full year financial performance. Total net revenues for the fourth quarter increased 11.9% to $18.4 million, compared with $16.4 million in the prior year period. This growth was driven primarily by increases in subscription and support revenues, and by our services revenues. License fees for the quarter were $0.5 million, compared with $0.6 million in Q4 of fiscal 2024. Subscription and support revenues grew 9.9% to $8.2 million, compared with $7.5 million in the same period last year, continuing to increase our recurring revenue base. Services revenues were $9.7 million, up from $8.4 million in the prior year period, reflecting strong project delivery and ongoing implementations. Our gross profit for the quarter was $10.3 million, representing a 56% gross margin, up from 52% in the prior year quarter. Operating expenses were $7.2 million, or 39% of sales, compared to $7.7 million, or 47%, in Q4 of fiscal 2024, for a decrease of $521,000. Income from operations increased to $3.2 million, compared with $0.8 million in the prior year period. Non-GAAP EBITDA came in at $4.7 million, or $0.40 per diluted share, nearly quadrupling the prior year's Q4 figure of $1.2 million, or $0.11 per diluted share. Non-GAAP adjusted EBITDA for Q4 was $3.5 million, or $0.30 per diluted share, compared with $0.7 million, or $0.06 per diluted share, in the prior year. Turning to our full year results, total net revenues for fiscal 2025 were $66.1 million, an increase from $61.4 million in fiscal 2024. Looking at the revenue breakdown, license fees for the year were $0.6 million, compared to $5.4 million in the prior year. This year-over-year decline reflects our ongoing transition away from large one-time license deals towards a subscription-first model. Subscription and support revenues were $32.9 million, compared to $28 million in the previous year. This increase was driven by increased SaaS adoptions across multiple markets. Services revenues rose to $32.6 million, up from $28 million in fiscal 2024, a 16.3% increase, reflecting solid project activity throughout the year. Further gross profit for fiscal 2025 was $32.6 million, compared with $29.3 million in the prior year. This improvement is due to the increase in revenues year over year, offset by an increase in our cost of revenues. Operating expenses totaled $29.1 million, compared to $25.8 million last year, as we continued investing in key growth areas, talent acquisition, and global delivery capabilities. Income from operations for the year was $3.5 million, consistent with $3.5 million in the previous year. At fiscal year-end, our cash and cash equivalents stood at $17.4 million, reflecting our continued discipline in managing working capital and operational costs. Our balance sheet remains strong, and we believe we are well-positioned to support both organic growth and future strategic opportunities. I'd like to now hand the call back over to Najeeb. Najeeb Ghauri: Thank you, Roger. To summarize, we closed fiscal 2025 with solid momentum, particularly in our recurring revenue segments, and continued to make progress in executing our long-term strategic vision. Looking ahead, we remain focused on expanding our SaaS offering globally, deepening customer relationships through value-added services and innovation, and improving overall operating leverage as we scale. As always, I want to thank our global workforce of over 1,750 people across our regional offices worldwide for their dedication and hard work. Our customers, for their trust and our shareholders for their continued support. We believe the fundamentals of our business remain strong and we are optimistic about the opportunities ahead of fiscal 2026 and beyond. With that, we now like to open the call for questions. Operator. Operator: Thank you. We would now like to conduct a question and answer session. If you would like to ask a question, please press star one on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press star two if you would like to remove your question from the queue. For participants using speaker equipment, it may be necessary to pick up your handset before pressing the star keys. One moment while we pull for questions. Our first question is from Todd Felte with Stonex Wealth Management. Please proceed. Todd Felte: Hey, congratulations guys on an outstanding quarter. Really nice to see the growth and the improvement in margins. I'm trying to figure out if this quarter is an abnormality or the start of a kind of a new upward trend. Do most of your subscription revenues are they paid to you on a quarterly basis or a yearly basis? Najeeb Ghauri: Thank you for your comment, Todd. First of all, I think we have a momentum as we close, very strong fiscal year. I think there is enough going on in the company across all three regions. That gives me a lot of confidence in our continued momentum of growth. Same way. Also, the subscription model, I think. Roger, you want to handle that because I think it's a quarterly pretty much. But it is a. It's a good trajectory that we are into growth side of the SaaS model. And eventually, as you see from the report, that we have done very well. From the last year, almost $32 million, something on the revenue which shows pretty strong, I think. Direction for the company, because that is exactly what we want to see. A subscription revenue grow faster than even license revenue, because pretty much into more subscription than the license model. So we are pretty optimistic about this. Continued journey. Roger Almond: Yeah. So, Todd, to answer your question, we see some annual, some quarterly, and some monthly. And so it's across the board, depending on the contract we have and the customer. So you know, cash will come in like I say on some contracts will be annually. Some are set up to where they pay quarterly. And then we have some subscription revenue that's coming in monthly. Todd Felte: Okay. That's helpful. And finally, I was hoping you could enlighten us a little bit on your sales cycle. I know we've seen some very large contracts recently with some Chinese companies, and an Australian company. From the time you announced these contracts, how long is it until you know you're Transcend? I becomes operational and you start receiving a revenue from those contracts. And is there any upfront fees that they pay you? Najeeb Ghauri: Well, I think good question. First of all, the sales cycle is lengthen is always but on the transient finance, pretty much ready. In our development engine in Lahore, Pakistan. So whenever we sign a contract, for example, the one we just recently announced in Australia. The team working behind the scenes, a lot of work done gets done before we even signed the contract ahead of time so that the team is in place. The timeline is in place, and whatever it takes to make sure that we meet the agreed contract time with the customer and go live, and then continue to not only generate revenue, but also see the momentum of getting excitement within the company to getting new contracts, particularly if the more SaaS driven. So I think it's a pretty good approach in the company. Todd Felte: Okay. And last question, are you guys willing to give any guidance going forward for the next year. Thank you. Najeeb Ghauri: I think we like to always update the guidance in the second quarter so we have better clarity. Although we have. Larger revenue in mind. I believe we will continue the growth momentum that we have seen in this fiscal year. And companies we we know exactly what we want to achieve. And the whole fiscal 2026. But it's better that we share the specific guidance, if not in the first of the second quarter. Todd Felte: Thank you very much. Najeeb Ghauri: Thank you, Todd. Operator: As a reminder to Star One on your telephone keypad, if you would like to ask a question, we will pose for a brief moment to pull for final questions. With no further questions, I would like to turn the conference back over to Najeeb for closing remarks. Najeeb Ghauri: Thank you again for joining today's call and for your continued interest in NetSol. We look forward to updating you on our progress in the quarters ahead. Stay safe and take care. Have a good day. Operator: Thank you. This will conclude today's conference. You may disconnect at this time. And thank you for your participation. Thank you. For your assistance. Have a good day.